Operator: Good day, ladies and gentlemen, and welcome to CF Industries 2022 First 9 Months and Third Quarter Financial Results. All participants are in a listen-only mode. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Martin Jarosick with CF Investor Relations. Sir, please proceed.
Martin Jarosick: Good morning, and thanks for joining the CF Industries earnings conference call. With me today are Tony Will, CEO; Chris Bohn, CFO; and Bert Frost, Senior Vice President of Sales, Market Development and Supply Chain. CF Industries reported its results for the third quarter and first 9 months of 2022 yesterday afternoon. On this call, we'll review the results, discuss our outlook and then host a question-and-answer session. Statements made on this call and in the presentation on our website that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, which are available on our website. Also, you'll find reconciliations between GAAP and non-GAAP measures in the press release and presentation posted on our website. Now let me introduce Tony Will, our President and CEO.
Tony Will: Thanks, Martin, and good morning, everyone. Yesterday afternoon, we posted our results for the third quarter and first 9 months of 2022, in which we generated adjusted EBITDA of $1 billion and $4.6 billion, respectively. On a trailing 12-month basis, our adjusted EBITDA was $5.8 billion, and our free cash flow was a whopping $3. 7 billion. Our industry-leading EBITDA to free cash flow conversion efficiency is an incredible, 63%. These results reflect continued outstanding execution by the CF Industries team. Our plants are running well, and we continue to leverage our distribution and logistics capabilities to navigate rapidly changing global environment. Most importantly, we have done all of this safely. At the end of the quarter, our 12-month recordable incident rate was 0.29 incidents per 200,000 labor hours, well below industry averages. Our team's remarkable performance took place against the backdrop of a very tight global nitrogen supply-demand balance. As Bert will explain in a moment, we believe the dynamics underpinning this environment will remain in place for an extended period, namely strong agricultural-led demand and high energy prices in Europe and Asia. Based on this outlook, we expect to continue generating substantial free cash flow, which will enable us to invest prudently in high-return growth projects while at the same time returning significant capital to shareholders. We remain focused on our clean energy growth initiatives, highlighted by the development of our blue ammonia capacity. Most recently, we reached a landmark carbon capture and sequestration agreement with ExxonMobil for our Donaldsonville, Louisiana complex. We have also moved our joint venture blue ammonia project with Mitsui into the FEED study phase. We believe that our focus on disciplined investments and partnerships with global leaders will keep us at the forefront of the developing market for low-carbon ammonia. We also remain committed to returning capital to shareholders through share repurchases and dividends. At the end of the third quarter, we have brought our outstanding share count below 200 million for the first time on a stock split adjusted basis. Given the confidence we have for our continued high level of free cash generation going forward, along with the fact that our shares have an LTM free cash flow yield of over 19%, as shown on Slide 6 of our materials, we have established a new $3 billion share repurchase program to follow on after we complete our existing authorization. With that, let me turn it over to Bert, who will discuss the global nitrogen market in more detail. Bert?
Bert Frost: Thanks, Tony. The operating environment for CF Industries remains positive as near the end of 2022. Agricultural-led demand continues to be robust due to the need to replenish global grain stocks. At the same time, energy prices in Europe and Asia have remained high, causing an unprecedented level of ammonia curtailments in Europe during the third quarter. Trade flows have adjusted rapidly with the rate of nitrogen imports into Europe over the last 3 months approaching those of the two largest import regions, India and Brazil. Foreign energy curve suggests that producers in Europe and Asia will face high energy costs into at least 2025. This will likely continue to challenge producer economics in those regions and lower global nitrogen supply availability. Producers in Europe with the option to import ammonia have been able to run upgrades profitably. But for those who cannot, the European winter is likely to be very difficult. Global supply also remains limited by government actions. Since October of 2021, Chinese government policy has materially restricted urea exports. Ammonia exports from Russia are also well below prior years. In contrast, the supply of upgraded fertilizer products from Russia has returned to near normal levels as trade flows have adjusted over the last two quarters. Looking ahead, we expect demand for nitrogen to remain resilient as the agriculture sector focuses on maximizing food production in the face of increasing food and security. Global harvests are not projected to make meaningful progress in 2022 towards rebuilding global grain stocks as key producing regions suffered from poor weather during the growing season. This includes the U.S. where crops were negatively affected by extended heat and drought this summer, leading to yields that are expected to be significantly below trend. As a result, crop futures prices for corn remained strong relative to the last decade, which should incentivize farmers to apply nitrogen fertilizer to maximize yields in 2023. As we have seen so far this year, margin opportunities can shift rapidly between regions where product is needed most. Typical seasonal demand from India and Brazil and higher-than-usual demand from Europe continue to drive today's market. This has enabled CF to build our largest export book ever, and we are receiving strong interest for first quarter export shipments as well. Further out, we expect high corn and wheat planted acres in North America in 2023 due to strong crop futures prices and healthy farm economics. In line with this outlook, we have a strong order book for the fall ammonia application season which has begun. Low water levels on the Mississippi River have challenged the industry's ability to move product northward late in the year and will have an impact into 2023. This is likely to increase the importance and value of product manufactured in and close to the Corn Belt as we enter 2023. As you can see on Slide 11, we expect these broad industry supply and demand dynamics to continue to support a steep global nitrogen cost curve during 2023 and, in our view, well beyond. The wide estimated cost range suggests continued volatility in global nitrogen prices. With our manufacturing network firmly rooted at the low end of the cost curve, we are well positioned for a strong margin opportunities even as prices fluctuate. With that, let me turn the call over to Chris.
Chris Bohn: Thanks, Bert. For the third quarter of 2022, the company reported net earnings attributable to common stockholders of $438 million or $2.18 per diluted share, EBITDA was $826 million, and adjusted EBITDA was $983 million. For the first 9 months of the year, the company reported net earnings attributable to common stockholders of $2.5 billion or $12.04 per diluted share. EBITDA was $4.3 billion and adjusted EBITDA was $4.6 billion. As we look ahead, we believe, we are well positioned across our business and strategic initiatives. Based on remaining planned maintenance activities, we expect capital expenditures for 2022 to be around $500 million. At the low end of the range we provided at the beginning of the year. This total encompasses expenditures related to our clean energy initiatives, including acquiring the land in Louisiana for the proposed blue ammonia plant with Mitsui. We have initiated a FEED study for the project with ThyssenKrupp and we expect a final investment decision in the second half of 2023. We also took a substantial step forward with our carbon capture project at the Donaldsonville complex partnering with ExxonMobil and gaining the benefit of their unparalleled expertise in subsurface geology. Once operational, up to 2 million tons of carbon dioxide annually will be transported from Donaldsonville and sequestered rather than admitted, putting us well on track to meet our 2030 emissions intensity reduction goal. We expect sequestration to begin in early 2025, in line with the anticipated completion of the $200 million carbon dioxide dehydration and compression unit we are constructing. Given our installed assets in place and the enhanced 45Q tax credit and the Inflation Reduction Act, we expect to earn returns well above our cost of capital. We believe our agreement with ExxonMobil represents critical progress in the development of the market for low-carbon ammonia. In a little over two years, we expect to have completed the carbon dioxide infrastructure necessary to produce blue ammonia. This should give industries interested in using low-carbon blue ammonia for clean energy greater certainty that substantial volumes will soon be available. Our clean energy initiatives continue to have a very attractive return profile with projected expenditures representing only a modest outlay of capital compared to our free cash generation outlook. This will enable us to pursue additional growth opportunities that meet our investment criteria as well as continue to return capital to shareholders. On a trailing 12-month basis, we have repurchased more than 20 million shares for approximately $1.6 billion through both ratable and opportunistic repurchases. This is almost 10% of CF Industries share count from one year ago. On Slide 6, you can see our free cash flow yield and free cash flow to adjusted EBITDA conversion rate. Based on these metrics, we see our shares as undervalued and expect to maintain a robust share repurchase program. We anticipate completing the remainder of the current repurchase authorization in the near future. At that point, we'll begin the new $3 billion share repurchase program. With that, Tony will provide some closing remarks before we open the call to Q&A.
Tony Will: Thanks, Chris. Before we move on to your questions, I want to thank everyone at CF Industries for their outstanding work in 2022. Their expertise and unwavering commitment to safety is the foundation of everything we do. One of the ways we put a spotlight on this commitment is our Annual Wilson Award for excellence in safety, which honors the most impactful safety innovation development within the company. I want to recognize our Yazoo City complex for winning this year's award. They improved the process of ammonia plant boiler startups, reducing the potential for unsafe conditions to arise. As we approach the end of an outstanding year for CF Industries, I want to put our performance in context. Over the last 10 years, we have invested to grow our production and cash generation capacity while strengthening the balance sheet and significantly reducing our outstanding share count. Our unmatched execution ability, along with a positive operating environment, have amplified the returns from these investments. As you can see on Slide 8 of our materials from the perspective of shareholders, free cash flow participation has more than tripled over this time period. Given our strong operational focus, disciplined capital stewardship, favorable outlook and strong return profile from our clean energy initiatives, we expect to generate superior cash flows. As a result, we believe, we are well positioned to build on our proven track record and create substantial shareholder value in the years ahead. With that, operator, we will now open the call to your questions.
Operator: [Operator Instructions] And our first question will come from Chris Parkinson of Mizuho. Please go ahead.
Chris Parkinson: There's been a lot of movement in trade flows, including ammonia coming out of North America and heading to Europe, which is easing a lot of the supply shortfalls that the region is facing. Just I'd be very curious to hear your assumptions on how this materializes into, let's say, the first quarter into the springtime demand season and whether or not you believe there's going to be an eventual disproportionate demand pull on Middle Eastern suppliers as we begin to supply, let's say, the Northern Hemisphere markets into the spring? Just any kind of comments on that updated dynamic would be very helpful.
Bert Frost: Chris, this is Bert. And you hit on probably one of the important subjects that we in the production side of the sector need to look at as well as the distribution side and that is these changing trade flows. And so what used to come out of Russia, let's say, 2-plus million tons of ammonia or different places is needing to be replaced on top of the lack of production coming out of Europe, at least in Q3, with gas prices remaining above $50. So you've had a substantial amount of supply taken off the market and CF as well as others have had to step in and replace those tons. But it's also reflected in urea and UAN as Russian tons head more towards South America and Middle Eastern and North African tons as well as North American tons are heading to Europe. And so those trade flows are reflected in additional vessel time and costs of logistics as well as the cost of the products. And so when we're looking at the trade flows, our assumptions are, and we're receiving, as I said in my prepared remarks, requests and outright bids for product to be supplied in Q1, and we expect this dynamic to continue through 2023 and probably 2024, and we are geared up for that. We have changed some of our flows to accommodate that, always mindful, though, of our North American customers and the ability to supply that. And so that's why we did the fill program early in July to take care of our North American customers and meet their needs or what they're willing to commit to and then be more aggressive in the export market.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson: I guess maybe continuing on that line of questioning. Obviously, a lot of different kind of dynamics between different forms of nitrogen at the moment. As you look at the fourth quarter in the U.S. and overseas, maybe it's pre-notable how divergent maybe ammonia and some of the nitrates are versus urea. And now that you're out of the major -- the bigger turnaround and considering the logistics issues with the river, how should we think about that impacting shipments? And how do you think -- how does you think that impacts inland inventories in North America going into the spring?
Bert Frost: This is Bert again. And I think these are the important salient topics that we are discussing with our customers today is how do we meet North American demand due to some of the difficulties. And you're right, the river issue with -- it's not just the Mississippi, but it's the Arkansas, the Ohio, the Illinois that are limiting shipments and water levels are at 30-year lows. So barges are not only being light loaded, they're taking double the amount of time and then to merge on those barges. So the cost of moving a ton from to the Midwest by barge went from, let's say, $15 to $70. So that's why when we say the value of internal tons like our Port Neal or our Canadian tons or Inland tons in North America are going to be valued and needed, and we're working with our customers to move those tons as we speak.
Tony Will: And I would just add to that, Adam, this only potentially gets exacerbated if you do end up with a railroad strike, which is being threatened out there. So the value of our in-market production, distribution assets is really spotlighted during periods of logistics, discontinuities, and we're seeing that today, both in terms of river but also just normal rail service rates even if there's not a strike. So as Bert said, we're very pleased with where we've got product position, what our production looks like in market. And with Donaldsonville, where it is, we certainly have the options to be able to continue to export and access the European market, which is really short nitrogen. And so we're happy to be able to satisfy some of those requirements and needs over there. Relative to, I would just say, the differences in margin opportunities, Bert does a great job of optimizing product mix in order to maximize margin opportunity. So right now, as you look at the value of ammonia versus where urea is or UAN, he twist the dials and we moved toward the products with better margins per unit of nitrogen. And in a lot of cases, then that leads to opportunities for export and really to set us up for a great end of the year and a good year next year.
Bert Frost: Yes. And just some additional comments. Thanks for that is, we have gone out and procured additional railcars as a reflection of the difficulties of the rivers as well as working with vessels to efficiently move our products globally. So we're excited about what's coming in Q1 and Q2.
Adam Samuelson: I guess just one clarification question on the railroads. How long of a strike could you weather without impact starting before you run out of on-site storage and load out that user production would be impacted?
Tony Will: Yes. I mean I think the way we approach that or have approached that is, Bert's got a really good order book. And Donaldsonville, we can export everything we produce there. And so we have plenty of international demand. There is available vessel outbound loadings. And we're not in a situation where we're concerned about being able to run Dville. Our in-market plants because they're already in market, a lot of them have access to just do truck delivery and don't require significant rail outbound loadings. And so we're in a really good position relative to not only capturing that in-market spread because of the high cost of bringing imported product into the Corn Belt but also given our logistics and distribution network and our storage capacity, we're relatively unaffected by a rail strike, but that would have dire consequences for the rest of the industry and anyone who's counting on bringing imported tons in is real trouble in the event of both the combination of low river levels along with the potential rail strike.
Bert Frost: And we're cognizant of these issues and we would have inventory space, as Tony said, with our distribution network and our terminals. So I think we can manage that well.
Operator: The next question comes from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar: I'm really confused with this nitrogen market. And I hope you can make some sense of this. If you assume European DDF prices, let's say, in the mid-30s, that puts marginal cost of ammonia at close to 1,200 and maybe urea north of 800. And prices are much lower today. U.S. is exporting, But as we approach the spring season, U.S. will have to stop exporting, you guys will have to take care of your own domestic customers. So in that case, how does this market play out? Can you just describe some scenarios for us?
Tony Will: Yes. I mean I think what we're seeing right now is there clearly is some level of demand destruction. And I would say, most prominently on the industrial side in Europe, where you've got very high energy costs and it's well publicized that BASF and others are running facilities at greatly reduced rates. And so -- and that really has to happen in this environment because you don't have enough nitrogen to go around. So price tends to be a good arbiter of where the value sits and what things don't get it. And so that's necessary. But as you point out, we don't expect high operating rates in Europe based on where the forward gas curve is and at least where current product pricing is. So that's further going to constrain supply going forward. And that really calls into question or highlights potential food and security issues and some of the most vulnerable parts of the world. So that's a real challenge as we look at high energy costs and relatively lower operating rates. And we're conscious of that and trying to navigate that. But from our standpoint, given where the strategic location of Donaldsonville is, we do have the option of exporting it. And we'll sell those tons domestically if the price is attractive relative to other options. And if Europe is a more attractive option for us and are paying higher prices, then I think price is the best arbiter of who values the tons the most, and they ought to So we're aware of it. But I think that's one of the reasons why we're fairly bullish as we look forward. The outlook of high energy costs in Europe and Asia means lower operating rates. They still need the product given where grain markets are and grain stocks to use are. So we expect very strong agricultural-led demand and a tight supply/demand balance on nitrogen, and that's why we're so bullish about the go forward.
Bert Frost: And I also think this is a cost curve in action. You're seeing the cost curve bid in that high-cost ton globally. So again, back to strange economics and logistics, you have Australian ammonia moving to Europe, you have Chinese ammonia moving that direction. It's never happened. You have our ammonia also moving to Europe. And so these changes, these dynamics are you have to bid in those tons. And some of those plants that have to produce for DDF reasons or chemical intermediates are running, but those who can import, like we said earlier, are. And so when you have 17 million tons of capacity and half of that's off, you're going to have massive dislocations. And we stepped in, and we think others will continue to step in and that will keep the market tight.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews: I just would like to hear your thoughts on Chinese exports. And in particular, we saw in the last month data that ammonia sulfate exports took a big step up. And so I'm just wondering if you think that's going to be a trend on a go-forward basis? And where -- what markets do you think that would wind up influencing? And does it actually matter from a CF perspective?
Bert Frost: Again, China has been an enigma wrapped inside of enigma. It's been very interesting to watch their various governmental policies over the last several years from massive expansions and capacity to ramping that production down and becoming a basic domestic supplier, especially of urea, going from 13 million tons a few years ago to 5 and now down to 1.5. So a dramatic change that has tightened up the global S&D. But ammonium sulfate has been a surprise. That's come out in multiple millions of tons. And ammonium sulfate is a good fertilizer because you're combining nitrogen and sulfur to sulfur deficient areas. So it's been -- a lot of those tons have moved to South America as well as to Europe and have replaced some of the urea and ammonium nitrate tons in Europe. So we expect that to continue. Those haven't been sanctioned by the government and they have come out and that's probably reflect -- some of that production is a reflection of caprolactam. Other is a reflection of pollution control equipment to make that product. And so it's been a surprise, yes, and we expect it to continue.
Tony Will: But I would also say it is something that the world is desperately short of now with all of the curtailments and outages you see across historic producing regions, the world is chronically short and really needs those tons and as bid up the value of those tons for the reasons Bert has talked about. So I think that's the normal response given the deficiency on the supply side.
Operator: The next question comes Joshua Spector from of UBS. Please go ahead.
Lucas Beaumont: This is Lucas Beaumont on for Josh. I just wanted to ask you guys about Russia, if I could. So the exports there haven't really been impacted that much in nitrogen compared to some of the other nutrients. But I mean, over time, you'd probably start to expect to see them having production problems there based on lack of availability of parts and expertise, that sort of thing that's popping up in other industries. So I was just wondering, could you give us your thoughts on how we should kind of see that through -- flow through to like lower production yields and operating rate -- operating rates over time? And then also just kind of on the expansion project side, like they had a few listed there the next two to three years. So they basically just not get done now for the same kind of lack of availability of products and expertise basically?
Tony Will: So Lucas, I think our expectation is that nitrogen exports remain sort of near historic levels, and there isn't that much variation. The one difference is probably a little lower on the ammonia side because a lot of that ammonia used to go via pipeline down to Odessa or usually and then come out to the Black Sea and that route is not really available right now. So there is some reduction in ammonia exports. But as you point out, the other forms of nitrogen are pretty flat year-on-year. And our expectation is that their operating rate at least for the next year or so is going to be fairly consistent. I think it's really dependent upon how long the conflict goes on and how long you see various sanctions in place. At the moment, we're not counting on there being a big fall off of Russian ton availability due to maintenance problems. On the new plant build, our expectation is those plants once they've begun will eventually start up, but they will likely be delayed for a significant amount of time. And so I think it's fair to push start up on a lot of those plants back at least 18 months, if not two years. But again, our expectation is that they start up. And also, the world really is in a deficit situation right now with respect to the normal demand growth in nitrogen year-on-year and the amount of production capacity coming online. So ultimately, the world really does need those plants to show up, particularly when we start seeing alternative uses of low-carbon ammonia, whether it's as a marine fuel or as co-combustion for electricity generation with coal. Historically, those demand areas have not required ammonia. And if we see those things develop and start pulling away available ammonia, we really do need those new plants to start up. So our expectation is that Russia is, for the most part, status quo with a little bit of delay on the new stuff.
Operator: The next question comes from Joel Jackson of BMO. Please go ahead.
Joel Jackson: I'm going to ask a few questions together. Maybe Bert, what would you think if the Togliatti pipeline comes back online? What would that do for ammonia in the world? Number two, Martin always like to yell about Q3 politely though, but Q3 ammonia netbacks tend to be weaker because of the heavy industrial mix. You had some quite weak urea and UAN prices relative to so benchmarks. Can you talk about -- was that just the export dynamic there? And number three, the $3 billion buyback over three years, it's a good number. Can you talk about, Tony, why is that the right number? What the Board was thinking about all the different commitments and how you got to $3 billion for over three years?
Bert Frost: Okay. I'll start with the first two. Togliatti will come back online at some point. We know that there have been some efforts to rail those tons to northern ports. That's a very difficult situation to take on, one, you need additional railcars, then move additional miles that had to go through different facilities. And it's an intricate bringing together of many different components. Will the pipeline come back up? That is a big question. It's a very long pipeline. It's an old pipeline, and you're in the middle of a war zone. So all those positive factors would say that's going to be a pretty difficult enterprise to bring back up to its former operating rate. So those 2 million tons that have moved pretty consistently over the years, I think should be questioned. Is it 1 million tons? Is it just a pigging of the line? We have to wait and see. And when you look at the Q3 netbacks, you're right. When you look at the -- let's just take each of the 3. On ammonia, it is an industrial quarter. And so when you look at the volume of tons and the commitments we have to Mosaic and other industrial users that are many gas based, I think our number is extraordinary because on the percentage that is at cost plus against the percentage that is at market price, we averaged very well. And when you're looking at urea, as the next question you had, the low of urea for Q3 was $485 entering Q3. And so as you know, for urea, you're asking our customers to sit on those tons for up to 8 months. And so there is a working capital issue and expense issue that goes to buying those tons, and they do get discounted and the interior, they get discounted as well. And that's just something we work through with our customers over time. And so when you look at our average price, again, starting at a very low level and probably hitting a peak, the peak of pricing was late in September. And so that will be reflected in Q4. So I like our Q3, both ammonia and urea numbers. I think UAN was fantastic at the numbers we had there when we started ammonia filled at $400 and average $448 has a good team effort there.
Tony Will: Yes. And I would just tag on with that one. Joel, back to Martin's point that he's spot on. Q3 is our lowest quarter from an ag demand perspective because the Northern Hemisphere is not applying and everything for the most part is going into inventory. And so really, it's also proportionally our largest industrial quarter. And as he points out, right, we saw whether it's the Mosaic contract or other industrial contracts that we have, those don't trade typically at the same level as ag demand does, particularly ag demand in season. And so you got to make sure when you're thinking about third quarter, you take those factors into consideration. But I'm with Bert, I'm really pleased with our price realization, our volume. I mean, $1 billion of adjusted EBITDA is the strongest third quarter we've ever had by a long shot. And that really lead us into the second part of your question, which is $3 billion. Why is that the right number? And I would just say, over the last 12 months, we've done $1.6 billion of share repo. And we're nearing the -- closing out the existing repurchase authorization that we have. And so we want to make sure that we got another authorization in place so we didn't have any dead period in there. And this is one of those things that it's going to be a rinse and repeat, not this is the end of it, right? So if things develop the way we expect them to and how we're seeing the first half develop, we could easily finish that well faster than the three-year time horizon that it's on, and then we'd go back and layer on another one on top of it. But the good news here is based on energy differentials and based on where stocks to use are, we see a prolonged period of very significant cash flow generation for the business without huge CapEx requirements. And so it really gives us a lot of flexibility in terms of how we think about deploying capital and returning capital to shareholders. And I'm just excited about what that means for the future.
Bert Frost: Joel, I do want to highlight one issue that when you're talking about pricing is the record levels. But if you look at our other category, that's basically DEF and a few other products. But the DEF team is not only operating at maximum capacity and utilizing our fleet efficiently but the average price realization from that group is at record levels. So just a shout out to them.
Operator: The next question comes from Andrew Wong of RBC. Please go ahead.
Andrew Wong: So I just want to ask demand actually. We normally -- on the ag side, do we think of it as pretty nondiscretionary. And obviously, there's going to be a lot of acres being planted. We have seen a little bit of pullback in demand or just some demand deferral and things like that. Like -- I guess I'm just kind of curious on your view on price elasticity on nitrogen, profitability and all those metrics look really, really strong. But just seems like there's a little bit of hesitancy here. So just trying to think about how that works.
Tony Will: Yes, Andrew, I think what's going on a little bit is there's a wait-and-see approach being taken by a lot of people right now. They know that they're going to need nitrogen next fall. They're looking at prices are. And despite the fact that farm economics are still very favorable, the view is nitrogen price is relatively high, and therefore, I may want to wait. I think what we're seeing is that that's a tough situation or potentially a tough situation given where energy prices are in the rest of the world. The other issue is in some parts of the world, less so in North America and Europe, but there's also a big working capital commitment at the current levels of nitrogen pricing out there in order to build a position for next year. So I think people tend to live a little bit more hand to mouth on that. But there's still plenty of demand, as you say, based on where grain prices are, we think ag demand is going to be very strong as we head into next year. And we're very optimistic about where that goes.
Bert Frost: I agree. And when you look at end demand, just taking five major markets, China, Argentina, Brazil is one, North America and Europe. When you look at the total demand coming from those -- just those areas, it's very healthy, over 100 million, 130 million tons of the 180 million tons that move around the world. We are short in terms of grains and oilseeds and the stocks-to-use ratio, but you have to feather in than livestock ethanol. And even though we're heading into a recession, the products that are demanded from us, the ammonia, nitric acid for synthetic fibers or explosives for mining are all very positive. And so for end demand, I look at the forward and that goes back to the cost curve. There are regions that are going to be cost constrained. And so then you lay in the demand that's expected, that still keeps the market tight, and that's why we're operating in this level of pricing of $1,000 for ammonia when a year ago, we were at $600. And two years before that, we were at $400. We are going to stay at healthy levels for the foreseeable future.
Operator: The next question comes from John Roberts of Credit Suisse. Please go ahead.
Edlain Rodriguez: Actually, this is Edlain Rodriguez. Bert and Tony, one quick question. And apologies if you mentioned that already. Clearly, the quarter turned out weaker than you would have expected. Like what was so different from your expectation 2, 3 months ago? And what did you think you missed?
Tony Will: Actually, I don't think we missed any I think if anything, the view from other people on the outside may not contemplate the normal cadence of this business, which is there's no ag demand and product going to ground in the third quarter, and therefore, it's industrial really mix of business that is much higher and industrial contracts because of the ratability of them tend to trade at a lower rate. We've talked about the Mosaic contract and others. And honestly, having $1 billion of adjusted EBITDA in the third quarter is absolutely fantastic. We launched at the highest price we've ever launched at and realized prices well above that. We had a fairly muted fill program because we saw the demand for that product internationally. And I'd tell you $1 billion of EBITDA in the third quarter is absolutely outstanding. There's nothing I'm disappointed or apologetic about it all.
Bert Frost: Yes. Let me get my own opinion which is production is higher than estimated, volume shift is higher than estimated, we pivoted very quickly to the export market where we had at times 3 times the normal volume of exports, we have got the vessels lined up, the product moved and the pricing was in line and our inventory is manageable and gas price was lower than expected. Other than that, it was great.
Tony Will: Yes. And Ali, I would just say one other thing. We don't really give guidance, right? We have it internally, and I'll tell you based on what our internal thought was, we knocked it out of the park. So I'm really pleased with the performance of this organization.
Operator: The next question comes from Stephen Byrne of Bank of America Securities. Please go ahead.
Stephen Byrne: I'd like to hear your view on nitrogen inventory levels in various channels. So maybe starting with the U.S. corn belt. Clearly, you exported more than normal this year. And I'm sure you have visibility into your wholesale and retail customers. How would you assess their inventory levels right now versus normal? So that would be the U.S. comment or question? There's some comments out there that Europe has full inventory levels of urea. I'm not sure that's logical, but would to hear your view on that one? And then with respect to Brazil, do they have enough urea to head into [Indiscernible]
Bert Frost: So looking at the U. S. system, I think it's probably -- I know how we were trending into Q3 and we had high inventory levels. And this was not the view that was public, but as we followed the trade case, we kept inventories in anticipation of spring demand that didn't show up. So we were long UAN. And so through Q3, we worked that down to a very good level. Yes, we did export, but we also shipped to the interior. We've also prepared for fall application of ammonia, which is now taking place and positioned ourselves very well to meet our customers' expectations into December. Urea, I think that's probably maybe on the lighter side of inventory. And I think that's where the river and for UAN, the river issues are having an impact of an inability to move NOLA tons up or the cost to move them up. And that's something we're watching. And that's why we're acquiring additional railcars, so we can move Dville tons by rail if needed, as well as Port Neal and Medicine Hat, Alberta. But transitioning to the rest of the world, there are areas where inventory is high. But the reason that they're high in Europe is Europe was not set up to be a very large importer. And so you're structurally trying to do something very quickly that the system was not built to do. And so those import facilities, they are a little bit plugged. They also had low river issues and an inability to fully load barges, but they also don't have a rail system like ours set up to quickly move tons into the interior. So structural issues are limiting the movement of product. And I think that's going to be an issue for them. There are a lot of North African tons that were moved into Europe. So I would actually say they were plugged for a while. UAN is a little bit different. We're moving some UAN over there, and that's been moving fairly efficiently. Brazil is another issue. There were Paranagua as well as Santos, Rio Grande, and they were all inundated with imports, and there's been some trucker issues, some trucker strikes, and they're not set up for rail on a grand scale like we are in the United States. And so vessels have been lining up and waiting record numbers of days, and that's going to cost money. I do think they'll make it though. However, Brazil is constantly working through their issues and very creative in their -- how they solve those issues. But they need 600,000 to 700,000 tons a month to this Jan and into February to meet the requirements. I think they'll do that, but it will be probably more expensive.
Operator: The next question comes from Ben Theurer of Barclays. Please go ahead.
Ben Theurer: Actually, I wanted to just like follow up around the pricing of the product and what maybe was your expectation into the quarter and some of the delays in terms of how it's reflecting through. So given everything you've talked about in terms of the logistical constraints, be it the rivers, be it the potential rail strike and so on, plus what's over up Russia, et cetera, how do you think about the structure price going forward? And how do you think the structure price and the realized price is going to align over time? And also, if you could explain maybe a little bit why current price, at least NOLA seems to be below the levels of last year, but it seems like there's much more friction in the system this year versus a year ago? So just to understand a little bit the actual pricing environment versus some of the commentary you made around the structure price.
Bert Frost: Yes. So I'll start with the last part first of the current price and why is it lower. We're in a commodity business. In a commodity business, that's not board traded. That is determined at different pricing points, whether that be NOLA, Paranagua or in the Middle East are dependent on different things. And so as I just -- with the last caller talked about there are areas of the world that are high demand areas that are plugged and have an inability to receive new tons. So what has happened, that has happened into NOLA. And with the difficulties of the river system, a lot of traders and buyers have wanted to get out of their positions and they just sold them down to a level that we believe is artificially low. And guess what happened this week, we saw a $50 rebound because those tons now may be going to India because India did a surprise tender announcement today. And so this is a dynamic market, and this is what the beauty of the CF system of our ability to pivot very quickly, participate in all these different markets have the spread of the distribution terminals and the flexibility. You have to remember, we have 5 different modes to ship, pipe, barge, rail, truck and vessel. That gives a lot of flexibility. So that's why we believe our pricing structure is consistently at or better than the market. So our expectations are still the same. You have a product constrained market, a little bit of the demand deferral and demand destruction, but a need for the world to be fed and cloth. And that will only happen with nitrogen fertilizer being readily available, and that's the question we're heading into 2023 is how and when that will normalize. So the structured price, we would say where we are today and probably trending higher into 2023, and it's going to be a positive market next year.
Operator: Ladies and gentlemen, that is all the time we have for questions today. I would like to turn the call back over to Martin Jarosick for closing remarks.
Martin Jarosick: Thanks, everyone, for joining us today. We look forward to seeing you at the upcoming conferences.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.